Operator: Welcome to the Bioanalytical Systems’ Fourth Quarter and Fiscal 2013 Results Conference Call. At this time all participants are in a listen-only mode. Later we will conduct a question-and-answer session. (Operator Instructions). As a reminder this conference is being recorded today, Tuesday, December 24, 2013. Please note that except for the historical statements, statements in this release may constitute forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934. When used, the words anticipate, believe, expect, intend, future and other similar expressions identify forward-looking statements. These forward-looking statements reflect management’s current views with respect to future events and financial performance and are subject to risk and uncertainties. And actual results may differ materially from the outcome contained in any forward-looking statement. Factors that could cause these forward-looking statements to differ from actual results include delays in development, marketing or sales of new products and other risks and uncertainties discussed in the company’s periodic reports on Form 10-K and 10-Q and other filings with the Security and Exchange Commission. Bioanalytical Systems undertakes no obligation to update or revise any forward-looking statements. I would now like to turn the conference over to Ms. Jackie Lemke, President, Chief Executive Officer and Chief Financial Officer of Bioanalytical Services. Please proceed ma’am.
Jacqueline M. Lemke : Thank you, operator. And thank you all for joining us for BASi’s fourth quarter and fiscal 2013 financial results conference call and webcast. The operator read the Safe Harbor statement and I just want to add that statements made on this call are made only as of the date of this call and the company assumes no obligation to update these statements. This morning we reported net income for the fourth quarter of fiscal 2013 of $252,000 or $0.03 per diluted share. This compares to a net loss of $2, 696,000 or $0.36 per share for the fourth quarter of fiscal 2012. For the year net income increased to $773,000 or $0.09 per diluted share. This compares to a net loss of $6,317,000 or $0.88 per share for fiscal 2012. Also noteworthy is BASi generated $1,519,000 in cash from operations for fiscal 2013 versus cash used in operations of $200,000 for fiscal 2012. This is solid progress. And while we still have plenty of work to do to achieve our goals for BASi’s growth and profitability we’re pleased by what we already have accomplished in rationalizing our operations and positioning the company for the future. For the three months ended September 30, 2013 revenue decreased to $5,508,000 compared to $6,540,000 for the fourth quarter of fiscal 2012. Gross profit was $1,909,000 or 34.7% of revenue compared to $2,154,000 or 32.9% of revenue a year earlier. Operating expenses for the fourth quarter of fiscal 2013 increased to $1,811,000 compared to $1,785,000 a year earlier, primarily due to expenses associated with the restatement of financial results for certain prior periods which we had reported on October 18, 2013. Operating income for the fourth quarter of fiscal 2013 was $98,000 compared to an operating loss of 2,139,000, a year earlier which included restructuring charges of $2,508,000. With regard to revenue mix, service revenue for the fourth quarter of fiscal 2013 decreased 23.8% to $3,980,000 from $5,222,000 for the fourth quarter of fiscal 2012. Fiscal 2013 service revenue was negatively affected by the consolidation of BASi’s Oregon laboratory into its West Lafayette facility and by the closure of the laboratory in the UK in the second half of fiscal 2012. Product revenue increased 15.9% to $1,528,000 versus $1,318,000 for the fourth quarter of fiscal 2013 and increased sequentially compared to $1,444,000 for the third quarter of fiscal 2013, primarily due to higher sales of Culex NxT automated sampling systems. Net income for the fourth quarter of fiscal 2013 was $252,000 or $0.03 per basic share and diluted share included a pretax decrease in the fair value of the warrant liability of $308,000. This compares to a net loss for the fourth quarter of fiscal 2012 of $2,696,000 or $0.36 per basic and diluted share which included a pretax increase in the fair value of warrant liability of $243,000. Net income for the fourth quarter of fiscal 2013 was $252,000. EBITDAR for the fourth quarter of fiscal 2013 was $547,000 compared to the EBITDAR of $891,000 for the fourth quarter of fiscal 2012. For the 12 months ended September 30, 2013 revenue decreased 21.8% to $22,068,000 compared to $28,208,000 for fiscal 2012. Service revenue decreased to $16,473,000 compared to $21,312,000 for fiscal 2013. A substantial portion of this decrease reflected the consolidation of our Oregon laboratory into our West Lafayette facility and the closure of our UK lab in the second half of fiscal 2012. Product revenue decreased to $5,595,000 compared to $6,896,000 for fiscal 2012 due in part to the late launch of Culex NxT in January of 2013. Gross profit dollars increased 3.2% to $7,055,000 or 32% of revenue, compared to $6,838,000 or 24.2% of revenue for fiscal 2012. Operating income for fiscal 2013 increased to $830,000 compared to an operating loss for fiscal 2012 of $5,686,000, which included restructuring charges of $3,195,000. Net income for fiscal 2013 of $773,000 or $0.10 per basic and $0.09 per diluted share included a pretax decrease in the fair value of the warrant liability of $601,000. This compares to a net loss for fiscal 2012 of$6,317,000 or $0.88 per basic and diluted share, which included a pretax decrease in the fair value of warrant liability of $73,000. EBITDAR for fiscal 2013 increased to $2,785,000 compared to an EBITDAR loss of $118,000 for fiscal 2012. With regard to balance sheet highlights at September 30, 2013, cash and cash equivalents were $1,304,000. The current portion of long-term debt was $613,000. Total long-term obligations were $5,112,000 and shareholders' equity was $9,459,000. In comparison, at September 30, 2012, cash and cash equivalents were $721,000, the current portion of long-term debt was $583,000, total long-term obligations were $5,998,000 and shareholders' equity was $8,377,000. As previously announced, we recently renegotiated an extension of the maturity on our building in West Lafayette to 2000 -- of the mortgage on the building in West Lafayette to October 2014. This gives us the flexibility to explore a sale and lease-back or other transactions to deal with this debt. I think the essence of what we have accomplished over the past year and a half or so is that we have built a sustainable business model that can support profitable growth. How do we do it? In fiscal 2012, we consolidated our laboratories into our headquarters in West Lafayette, closing facilities in Oregon and the UK to reduce operating cost and strengthen our ability to meet client's needs by improving laboratory utilization. We also implemented personnel reduction and other cost cutting measures in selling and general and administrative functions. As a result while revenues for fiscal 2013 decreased compared to fiscal 2012, primarily due to the restructuring, gross margin increased by a third from 24% to 32%, operating expenses declined by a third and operating income increased by $3,321,000 to an operating income of $830,000 for fiscal 2013 compared to an operating loss of $2,491,000 before restructuring charges for fiscal 2012. But we don't grow a company by cost cutting alone. So just as important we are creating fresh opportunities for growth. We have established collaborative research programs to validate new applications for our market-changing Culex NxT automated sampling systems. We have negotiated preferred provider agreements and other agreements in our laboratory services businesses that build on BASi's reputation for delivering the quality and timely data that is critical to the drug development process. These initiatives have contributed to the increase in new order bookings we have enjoyed in recent months. The increase in bookings also reflects our refocus and expanded marketing initiatives based on BASi's established strengths in specialty assay and drug discovery, regulatory excellence and innovation such as our Culex NxT automated sampling system. I believe we are just beginning to see the benefits of all these efforts. These encouraging developments position BASi for higher revenue in fiscal 2014 even as we continue to improve productivity and maintain control over cost. We are confident that we are pursuing the right strategy to deliver improved operating performance and to build value for our shareholders. Operator, we are ready for the first question. 
Operator: (Operator Instructions). Your first question comes from the line of Seth Hamot representing RRHC.
Seth W. Hamot - Roark Rearden & Hamot Capital Management: Hey, Jackie, how are you?
Jacqueline M. Lemke: Good, Seth how are you?
Seth W. Hamot - Roark Rearden & Hamot Capital Management: Good, good. I am just -- I've got a few questions here. The first, margins in the service side of the business, are they, are you as good as you are get out of those in gross margins or do you think there is more to be done there?
Jacqueline M. Lemke: I think there is more that will come out as revenue increases.
Seth W. Hamot - Roark Rearden & Hamot Capital Management: All right. So are we at a leverage point, a natural leverage point or this is just good management finding other efficiencies? And when I say leverage point I mean does the business have operating leverage going forward? 
Jacqueline M. Lemke: Yes, the costs are where they are going to be at this point and as the revenue increases our margins will increase, is that your question?
Seth W. Hamot - Roark Rearden & Hamot Capital Management:  Yes. 
Jacqueline M. Lemke: We’re also going to -- as we have a little more room, work with our mix so that we sure that we’re working on the mix that makes the most sense for us as a company. 
Seth W. Hamot - Roark Rearden & Hamot Capital Management: And that’s the mix of different projects being taken off. 
Jacqueline M. Lemke:  Right exactly. 
Seth W. Hamot - Roark Rearden & Hamot Capital Management: Okay. So let’s talk about the equipment side of it, the margins and equipment. How about that, are there opportunities there or is that really just a scale to grow the business? 
Jacqueline M. Lemke: Yeah, I think the margins in equipment are probably where they are going to be. They might be slightly lower in the future because we’re going to need to invest a little bit more. So they have low operating costs and time to leverage the top line but to do that we might need to invest in more innovation. 
Seth W. Hamot - Roark Rearden & Hamot Capital Management: Is that innovation a Culex or the electro -- whatever…
Jacqueline M. Lemke: Yeah, it’s overall. Everything I mean we are going to try to make sure that we are issuing new updates to software periodically and we’re also going to, from the gross margin point of view, it’s the production floor, how we’re going to lay that out, to be able to take on more volume. So I think that’s going to stabilize the gross profit margin may be decrease it a few percent but it’ll still be pretty healthy. 
Seth W. Hamot - Roark Rearden & Hamot Capital Management:  Super. Thanks a lot for your time. 
Jacqueline M. Lemke:  Sure.
Operator: Your next question comes from the line of Lenny Dunn representing Freedom Investors Corp. Please proceed. 
Lenny Dunn - Freedom Investors Corporation: Good morning, Jackie and good quarter, though as expected. And getting back to Seth’s question about the operating leverage, my view would be it will be very strong going forward because your fixed costs are your fixed costs. So if we can, as an example increase revenue by 50% in the lab work, awful lot of that should flow to the bottom line, am I misreading that? 
Jacqueline M. Lemke: No, as you said, there are variable costs that are directly related to increased revenues also. So the variable costs on the product side of course is materials, the labor and overhead will stay the same to a certain level and then as you increase revenue substantially then your labor never has go up to. But it depends on your mix of variable to fixed cost. 
Lenny Dunn – Freedom Investors Corporation: Right now, there was an article in Wall Street Journal by pharma companies, Cost cuts could be tonic for Quintiles. Now obviously we are nowhere near the magnitude and size of Quintiles but the article was very favorable about the direction that pharma is taking for the smaller jobs of we should be in place for those, are you seeing more interest in what we do? 
Jacqueline M. Lemke: Yes, I am. I think that with the restructuring I mean, this is a long-term industry, people are in it. They contract with you for the long-term over multiple years. So they want to see stability and I think as we restructured that scared a few people. But I think they are coming back plus I think the industry is moving back to putting more molecules in the pipeline. So we’re going to see lift from both of those. 
Lenny Dunn – Freedom Investors Corporation: Okay. And the last question has to not do with the company itself but we have quite a bit of warrants and it’s my understanding that to keep -- get the meter running on these things we have to hold them a year and [date] over the long-term what process do we go through now if we want to start exercising our warrants? 
Jacqueline M. Lemke: Yeah, I have to defer that one to my Finance Director because he takes care of all the exercising. It has to do with the company that holds our stock and trades it, I think it’s Ameritrade. So she can take care of that, just write me a note and I will make sure… 
Lenny Dunn – Freedom Investors Corporation: Okay. Because obviously the cash infusion actually helps the company and would certainly benefit us too. Okay, so I should call her tomorrow, not tomorrow but on Thursday?
Jacqueline M. Lemke: Yes. 
Lenny Dunn – Freedom Investors Corporation: Okay. At this moment there is no process set up or?
Jacqueline M. Lemke: Yeah, there is a process, I am just not in the middle of it, I am sorry. So it’s basically you contact the -- I want to say it’s Ameritrade but it might be Compushare and they will take care of the transaction. She does all that for me. 
Lenny Dunn – Freedom Investors Corporation: Okay. Thank you very much. 
Operator: (Operator Instructions). And your next question comes from the line of Tom Harenburg representing Carl M. Hennig, Incorporated. Please proceed.
Thomas Harenburg - Carl M. Hennig, Incorporated: Good morning, Jackie. Good to see that things are continuing to the plus side here. Going -- following up on this warrant exercise, have any warrants been exercised, of the five year warrant been exercised just recently?
Jacqueline M. Lemke: I really don't know Tom. I haven't seen that activity. But right now because the S1 to be reissued we have to put a statement on that post-effective amendment to note about the issue with the warrant accounting. People can exercise their warrants as cash less exercise, they can get the share, they just can't sell the share. So we are in that period where we can't do that. But that will be lifted as soon as we file -- after we filed the 10-K we are going to file the post-effective amendment to the S1.
Thomas Harenburg - Carl M. Hennig, Incorporated: Okay.
Jacqueline M. Lemke: In the reconciliations.
Thomas Harenburg - Carl M. Hennig, Incorporated: On the scene with the building, how are you coming on that?
Jacqueline M. Lemke: Well, we are getting a lot of investor interest and people are considering this investment versus the market. They just talk about interest rates moving a little bit. I keep up with the realtor once a week in getting updates. I don't have anything more to say at this point that says I have a solid deal in hand but we are working on it.
Thomas Harenburg – Carl M. Hennig, Incorporated: Okay. Do you feel reasonably comfortable that in fiscal 2014 you can consummate that sale?
Jacqueline M. Lemke: Yeah, we’ll either consummate the sale or we will have refinancing.
Thomas Harenburg – Carl M. Hennig, Incorporated: Okay. Talking about refinancing, when you refinanced your loan for an additional year was there any change in that interest rate?
Jacqueline M. Lemke: No.
Thomas Harenburg – Carl M. Hennig, Incorporated: It wasn’t, okay. It would seem to me that as your position improves here that you may be able to jingle a little better interest rate there.
Jacqueline M. Lemke: Yeah.
Thomas Harenburg – Carl M. Hennig, Incorporated: Okay, okay.
Jacqueline M. Lemke: They are just looking to get it refinanced.
Thomas Harenburg – Carl M. Hennig, Incorporated: Okay. On the Culex side, can you give us some guidance as to how many units were sold and delivered in the fourth quarter?
Jacqueline M. Lemke: I don't have that data I am sorry, I usually have that with me I just didn't get it this quarter.
Thomas Harenburg – Carl M. Hennig, Incorporated: Okay. As far as the new sales team you had added five new people back around June, July are those all still with you?
Jacqueline M. Lemke: Yes.
Thomas Harenburg – Carl M. Hennig, Incorporated: And are you beginning to see some results of their effort or is that still in the early stages?
Jacqueline M. Lemke: We are. We are seeing a lot of potential. We are getting into a few areas that we haven't been in before happily. We are happy to meet clients that we had never met. That's a benefit of having experienced sales people who know how to reach out. But we won't see actual signed orders probably for another three to six months and we have a few signed orders but not the volume that you want from people who have been in place for several years and I think that we'll see that in the next six months or so. 
Thomas Harenburg – Carl M. Hennig, Incorporated: Okay. And lastly here with a week to go in the first quarter and I know when I asked you this question last time you were pretty invasive but could you give us any guidance as to how the quarter set up?
Jacqueline M. Lemke: You are going to ask me this every quarter, aren’t you. If I give you guidance and then it's wrong, you are not going to be happy. This quarter is good, it's better than last quarter, substantially better and I think it's an indicator of how we'll do this year, I think…
Thomas Harenburg – Carl M. Hennig, Incorporated: Excellent. Well, that sounds good. Very good. That takes care of my questions. Thanks Jackie and again good luck going forward.
Jacqueline M. Lemke: Thanks Tom.
Operator: At this time, there are no further audio questions. 
Jacqueline M. Lemke: Okay. Thank you everybody for joining us and I look forward to speaking with you in fiscal 2014 on the first quarter results conference call in about three months. Operator?
Operator: I am sorry you do have a follow-up question that just came in. 
Jacqueline M. Lemke: Okay.
Operator: You have a follow-up question from the line of Lenny Dunn. Please proceed.
Lenny Dunn – Freedom Investors Corporation: Yeah, hi. What you said to Tom was music to my ears. So we can look forward to an improved quarter in the current one and some of these sales results probably aren’t going to show up until the quarter starts in January unless I am mistaken.
Jacqueline M. Lemke: Well, improved quarter from a revenue point of view I really haven't checked everything else. I am just keeping an eye on that. And the quotes that will come in, from the volume of quotes coming in from the new BD people, I am expecting that to pick up in the next six months and then once the quotes come in it takes several months to turn them around into revenue. So you are not going to see that hit directly in revenue. We’re seeing some increase from quotes that were put in last year. 
Lenny Dunn – Freedom Investors Corporation: Okay. And then also you chosen that cashless exercise which is not our interest in doing that. We don’t mind accumulating more shares at $2. So…
Jacqueline M. Lemke: Right, it’s actually done. 
Lenny Dunn – Freedom Investors Corporation:  Okay. That’s all I needed. Thank you very much. 
Jacqueline M. Lemke: Okay, thanks. 
Operator: There are no further audio questions. 
Jacqueline M. Lemke: Okay. Well then this concludes our conference call for today. Thank you everyone. 